Operator: Good day, and thank you for standing by. Welcome to the OSI Systems, Inc., Second Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. After the presentation, there will be a question-and-answer session. To ask a question during that session, [Operator Instructions]. Please be advised that today's conference is being recorded. If you require any further assistance, [Operator Instructions]. I will now like to hand the conference over to OSI Chief Financial Officer, Alan Edrick. Please go ahead.
Alan Edrick: Good morning and thank you for joining us. I'm Alan Edrick, Executive Vice President and CFO of OSI Systems. And I'm here today with Deepak Chopra, our President and CEO. Welcome to the OSI Systems fiscal 2022, second quarter conference call. We are pleased that you can join us as we review our financial and operational results. Earlier today, we issued a press release announcing our second quarter fiscal year '22 financial results. Before we discuss these results, I would like to remind everyone that today's discussion will include Forward-looking statements and the company wishes to take advantage of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to such forward-looking statements. All Forward-looking statements made in this call are based on currently available information and the company undertakes no obligation to update any forward-looking statement based on subsequent events or new information or otherwise. During today's call, we will refer to both GAAP and non-GAAP financial measures when describing the company's results. For information regarding non - GAAP measures, and GAAP measures of the company's results, and a quantitative reconciliation of those figures, please refer to today's earnings release.  I will begin with a discussion of our financial performance for the second quarter of fiscal '22, and then turn the call over to Deepak for an overview of our business performance. I will then finish with more detail regarding our financial results and a discussion of our outlook for the 2022 full fiscal year. We are pleased with our results this quarter, despite global marketplace challenges, including heightened impacts from COVID, with the emergence of the Omicron variant, an increasing supply chain delays, and logistics costs. As we continue to work through this environment, a top priority at OSI Systems remains to deliver on commitments to our customers and to our partners and position the company for long-term success while preserving the safety of our employees. Now, we will go through a high-level summary of our financial results. Q2 revenues of $277 million were comparable with that of the prior year Q2. Increased sales in the Opto division along with a slight increase in sales in the Security division, were mostly offset by a 4% reduction in year-over-year Healthcare division sales as expected. Q2 non-GAAP earnings per share were a $1.28, down 5% from Q2 of fiscal '21, due primarily to increased R&D, higher supply chain costs, and a change in product mix. For the first half of fiscal '22, we reported record non-GAAP diluted EPS of 244 per share, up 5% year-over-year. Bookings were a bit softer in the second quarter of fiscal '22, following a Q1 book-to-bill of 1.6. The Q2 book-to-bill ratio was 0.9, resulting in the fiscal '22 first-half book-to-bill exceeding 1.2. We ended the quarter with a backlog of over $1.2 billion, 12% increase since the beginning of the fiscal year. Lastly, in December, we amended our credit facility increasing the capacity from $535 million to $750 million, extending the term to a fresh five years, and maintaining the very favorable pricing, which as of quarter end was Libor plus 100. This has increased optionality as our convertible notes come due in September 2022. Before diving more deeply into our financial results, I will now turn the call over to Deepak.
Deepak Chopra: Thank you, Alan, and thanks to everyone joining us on today's call. We had a good second-quarter and first half of fiscal 2022 while working to a challenging macro environment that was significantly impacted by the rapid spread of Omicron variant. This latest COVID [Indiscernible] continues to hamper our supply chain, logistics, and business-related travel. Security has been the most impacted, while Opto Electronics and healthcare were less affected and performed to our expectations. We ended the quarter with a backlog of over $1.2 billion and enter the second half of fiscal 2022 with confidence in our ability to execute in a tough environment. Taking onto each division's performance in the quarter, starting with Security. The Security division delivered Q2 revenues that were slightly higher than Q2 in the prior year, and revenues in the first half that were 5% higher than the first half of fiscal 2021. In Q2, the Omicron variant impacted a pandemic-challenged environment, especially for the aviation security market, as certain airports prolonged their equipment upgrade, replacement, and service cycles. Local travel restrictions in certain regions of the globe also are so affected timing for installation, test, and acceptance phases by the customer of our aviation board and border security products. Discussing some of the highlights, unit quarter and the first half, the security team captured several key booking opportunities during the quarter. We announced one of these wins valued at about $29 million from an international customer to provide cargo and vehicle inspection systems, baggage and parcel inspection systems, related training and maintenance services. At the end of the quarter, previously we announced $200 million in orders that were received near the end of Q1 from U.S. Customs and Border Protection, CBP, under two indefinite deliveries, indefinite quantity contracts called IDIQs, that collectively have a ceiling value totaling approximately $870 million. As CBP further strengthens its border security to Internet contraband and illegal drugs hidden in cargo and vehicles, we believe that there are opportunities for additional orders under these IDIQs to support the customer's non-intrusive cargo and vehicle inspection programs for what --we have one of the broadest solution offerings in the industry. As we have mentioned before, that the shipments on this contract will -- is more towards the Q4 and into 2023. Internationally, we are currently working on several projects to upgrade and maintain existing rapid scan and AS and E cargo and vehicle inspection systems and new installations.  Our ZBV, mobile backscatter vans, Auto sixties, high-energy and multi-energy configurations for drive-through portals, and G60 fixed-gantry configurations, among others, are utilized at one or more of these projects to provide customs clearance of goods at ports and border crossings. On some projects, we are also incorporating our proprietary software integration software called Search Scan, which is cyber -secure and helps manage inspection image data, travel, vehicle identification, and integrate with other IT systems at cargo and vehicle inspection checkpoints, thereby streamlining and facilitating the inspection process. CertScan was designed to work with third party inspection systems, and can be sold as a standalone software. We continue to gain traction with our CertScan software-as-a-service, or SaaS model, with potential customers that have inspection equipment from multiple vendors to utilize the software platform. As mentioned before, in our $200 million contract that we announced before, there is a good portion of the CertScan Software also. In turnkey services, our projects in Albania, Puerto Rico, Guatemala, continue to perform well on experience and capabilities derived from operating and managing these turnkey programs have been invaluable as they have allowed us to differentiate ourselves and win critical border security projects that have a scope, which involves equipment installation, civil works, system integration, and operating training, and in some cases, the CertScan Software also. During the quarter, we continued to work with third-party global logistics providers to support their infrastructure expansion efforts that require various solutions for parcel inspection and explosive detection.  And again, we have a broad set of solutions here that match well to the requirements of these customers. They are very focused on capturing new opportunities in this growth area primarily, driven by increased e - commerce goods flow. As mentioned before, air cargo has become a very good product portfolio for us and we feel that we are the best placed as our broad product portfolio for that market. In Q2, Secura did a commendable job delivering to our customers while prudently managing the cost structure, dealing with the ongoing supply disruptions, travel bans, travel quarantines and test and acceptance delays. Looking ahead, we believe that security with a solid backlog and opportunity pipeline is well-positioned for a strong second half of our fiscal year.  As Alan will talk later, definitely some of the revenue in Security got pushed from Q2 into Q3 and Q4. Moving on to our Optoelectronics division, we had a strong quarter by leveraging our global operational presence to deliver to our various OEM customers. Opto's third-party Q2 revenues of $78 million represented yet another new record for the division. Opto dealt with instances of material shortages, component price increases, and higher praised costs and still achieved record quarterly profit in an increasingly difficult macro environment, the Opto team has done well to anticipate potential supply chain constraints and plan workarounds as needed to maintain deliveries to OEMs in aerospace, defense, healthcare, automotive, and telecommunication industries among others. During the quarter, we announced an order for approximately $6 million to manufacture sub-assemblies for a wireless critical communication provider. To support growth in Asia, especially for our medical products, we're expanding Opto's India's operation, as we transition to a larger facility shortly, which will come online in the second half of 2022. Looking ahead, with a record Q2 ending backlog, we anticipate Opto continuing to perform well in the second half of the fiscal year. I want to make an extra comment that our customers, OEM customers in the Opto business, they have been super cooperative, and have helped us in the supply chain. And in some cases, we've been able to pass on the price increases over to them. Moving onto the healthcare division, we reported revenues of $52 million, a bit lower than the same period from a year ago, which was expected. Last year's Q2 revenues still had tailwinds from hospitals, expanding their ICU capacity for the pandemic. During the quarter, we announced a couple of key wins totaling $9 million from US hospitals in the North West and South regions. These hospitals ordered a wide array of patient monitoring solutions, including our Xhibit Central Stations, Qube transport patient monitors, and related accessories. During the quarter, we continued to significantly invest in developing new products for the patient monitoring and cardiology product lines to further strengthen our offering for the future. For cardiology, we have also invested in building out a U.S. sales channel that, together with new products launched, helped drive strong cardiology top-line growth in Q2 in the first half.  While we have a significant portion of revenues in the U.S. for patient monitoring, we're just getting started for establishing our U.S. presence for cardiology. Going forward, we plan to maintain our focus on operational execution and stay agile to handle additional demand that may arise from certain hospitals that need to increase capacity, currently being strained by the latest COVID variant. Overall, we are pleased with the company's fiscal 2022 first half performance considering the conditions that quickly arose due to the Omicron variant.  We are hopeful that the overall impact from Omicron will dissipate as quickly as it started. There are signs already of them picking it. However, due to the ongoing challenges now exasperated by the latest variant, we are revising our top-line guidance to a slightly lower range, while simultaneously, feeling confident of increasing our earnings guidance with expected improving operating margins and product mix in the second half, but more security revenue, which Alan will go into more detail. Since the beginning of the pandemic, the company has proven its ability to maintain its focus on helping customers worldwide with their critical roles and providing public health, safety and security. I would like to thank our employees, customers, and shareholders for their confidence in us and I look forward to the second half of our fiscal year. I will now turn the call back over to Alan to further discuss our financial performance before we open the call for questions. Thank you.
Alan Edrick: Thank you, Deepak. I now will review the financial results for our fiscal second quarter in greater detail. As mentioned earlier, fiscal Q2 revenues were roughly the same as that of the prior-year Q2. Security division revenues were up slightly with increased service sales, but reduced product sales. As Deepak mentioned, the pandemic has impacted the timing of completion of certain projects and acceptance testing, which adversely affected security revenues this quarter. Opto sales, including intercompany sales, increased 5% year-over-year, continuing the momentum seen throughout fiscal 2021. Third-party Opto sales in the second quarter were up 3% year-over-year, while intercompany sales in the quarter were up 13% year-over-year to support the anticipated increase in security sales in the second half of fiscal 22. The growth in Opto and security sales was partially offset by a 4% reduction in year-over-year revenues in the healthcare division. This was anticipated given the elevated demand for the patient monitoring products in the earlier stages of the pandemic, creating difficult comps for the division in fiscal 22. While this dynamic related to patient monitoring sales is anticipated to continue during the remainder of the fiscal year, several initiatives surrounding our cardiology product line, including new product releases in building out the U.S. sales team are beginning to pay off. Cardiology related sales increased significantly year-over-year in each of Q1 and Q2. The Q2 gross margin was 36.1% compared to 37% reported in Q2 of fiscal '21. Similar to last quarter, stronger revenue growth in our Opto division, which carries a lower gross margin than our other two divisions, and reduced healthcare division revenues, which carries a higher gross margin than our other two divisions, places downward pressure on the consolidated gross margin.  The mix of product and service sales within the security division were also less favorable than the prior year's comparable quarter. Like many companies, we experienced increases in certain component and freight costs in each division, which impacted the gross margin as well. Our gross margin will fluctuate from period-to-period based on revenue mix and volume among other factors. Moving to operating expenses. We continue to work diligently across each of our divisions to improve efficiencies, imprudently manage our SG&A cost structure. This quarter's results again demonstrate the success of these efforts. Q2 SG&A expenses were $55 million or 19.8% of sales compared to $56 million or 20.3% of sales in the prior year Q2. Research and development expenses in Q2 were $15 million representing a year-over-year increase of 9%. We continue to dedicate considerable resources to R&D, particularly in security and healthcare. We remain focused on innovative product development, which we view as vital to the long-term success of our businesses. In Q2 of Fiscal '22, we recorded $0.8 million of restructuring and other charges as compared to a benefit of $0.2 million in Q2 of the prior fiscal year. Moving to interest and taxes. Net interest and other expense in Q2 of fiscal '22 decreased to $2.2 million from $4.2 million in the same prior year period, primarily due to the adoption of the new accounting standard, ASU 2020-06, which eliminated the non-cash interest expense associated with our convertible debt. We note that adoption of this standard also resulted in increased debt on the balance sheet by eliminating the unamortized discount of approximately $10 million.  On the tax side, excluding the impact of discrete tax items, our effective tax rate in Q2 of fiscal 22 was 25.0% compared to 27.5% in Q2 of fiscal '21. We recognize discrete tax benefits of $0.3 million in Q2 of each of fiscal '21 and '22, and as a result, the reported effective tax rate was 26.3% in Q2 of fiscal '22, compared to 28.8% in Q2 of fiscal '21 under GAAP. I'll now turn to a discussion of our non-GAAP adjusted operating margin. Overall, our adjusted operating margin decreased to 12% in Q2 of fiscal '22, from 13% in Q2 of fiscal '21, driven by the previously discussed factors related to gross margin, increased investment in R&D, and the reduction in revenues in our healthcare division, which tend to carry higher margins. We are pleased with the increase in the adjusted operating margin in our Opto division, which expanded to a record 15.4% in Q2 this year, driven primarily by gross margin improvement, as compared to 12.8% in the prior year second quarter. This Q2 record margin in Opto was offset by reductions in the other two divisions. The adjusted operating margin in our healthcare division was 13.8% in Q2 of fiscal '22, compared to 17.4% in Q2 last year. The decrease was driven by a higher component and freight costs in this challenging supply chain environment, increased investments and infrastructure to support future growth, and economies of scale associated with a higher level of sales during the onset of the pandemic. Similarly, our security division's adjusted operating margin decreased to 14.2% in Q2 this year from 15.7% in Q2 of the last fiscal year, primarily due to a less favorable mix of customer revenues and rising costs in the supply chain.  Moving to cash flow. In Q2, cash provided by operations was $14.5 million. Cash flow was again impacted by our decision to increase inventory levels to mitigate certain supply chain challenges, and the timing of payments to vendors and collection from customers as some parties have been delaying payments in the current business environment. CAPEX in the second fiscal quarter was $3.7 million, while depreciation and amortization in Q2 was $9.5 million. We were again active in our stock buyback program. During Q2, we spent approximately $29 million to repurchase 312,790 shares, leaving approximately 2.1 million shares available to repurchase under the current program. Our balance sheet is solid with net leverage under 1.5 with significant capacity for acquisitions and additional stock buybacks. We have multiple options to satisfy our obligations under the convertible notes, which mature in September. Finally, turning the guidance. As Deepak described, challenges associated with the pandemic, including the impact on the Aviation business and travel which can impact the timing of product installation and acceptance testing in a more difficult supply chain environment have led us to revisit the guidance. In addition, and off to a customer shifted business to consignment model. While this last change leads to increased gross margins, it decreases revenues. As a result, we are reducing our fiscal 22 sales guidance to $1.16 to $1.195 billion, from $1.19 to $1.225 billion. However, we anticipate stronger operating margins. As such, despite expectations of reduced revenues, we are increasing the fiscal 2022 non-GAAP EPS guidance to a range of $5.75 to $6.02 from $5.72 to $6. Based upon our projected backlog delivery schedule, we anticipate increasing sequential revenues and non-GAAP EPS in each of Q3 and Q4. We currently believe this revenue and non-GAAP earnings guidance reflect reasonable estimates, and we've taken into account the anticipated impact of the COVID-19 pandemic and supply chain challenges in our guidance. Given uncertainties as to the duration and scope of the COVID-19 pandemic and supply chain disruptions as well as other variables, however, the extent of the impact on the company's financial results is difficult to predict and could vary significantly from the anticipated impact currently reflected in our estimates and guidance. Actual revenues and non-GAAP earnings per diluted share could also vary from the anticipated ranges due to other risks and uncertainties discussed in our SEC filings. In the face of these challenging times, we continue to remain focused on the growth of our businesses and continued management of our cost structure. We believe our efforts in these areas will enable OSI to continue our leadership from providing innovative products and solutions. We delivered solid first half results in an ever-changing environment and continue to navigate effectively through uncertainty while gaining traction in key strategic growth areas and positioning the company to capitalize on improving end markets. Finally, we'd like to take this opportunity to thank the Global OSI Systems team for its continued dedication in supporting our customers and contributing to the creation of value for our stakeholders, while maintaining a firm commitment to safety. At this time, we'd like to open the call to questions.
Operator: And thank you. [Operator Instruction] Our first question is from Brian Ruttenbur with Imperial Capital. Your line is open.
Brian Ruttenbur: Great. Thank you very much. First question is probably towards Alan. In terms of cash flows -- operating cash flows, can you talk a little bit about where you think operating cash flows are going to be this year as a whole, and then inventory build and everything else going on. How that, in your opinion, as one-time in nature, and how should recover maybe in the future in fiscal '23?
Alan Edrick: Hi, Brian, it's Alan. Yes, good question. As you know, we've been a strong generator of operating cash flow in each of the past many years here. In fiscal '22, we've made some strategic decisions that will affect our working capital metrics. We are increasing inventory significantly as you've seen on the balance sheet to mitigate some of that supply chain risk, also to prepare for the strong sales that we're anticipating in the second half and then continuing into fiscal '23. Simultaneous with that, although we're increasing the inventory, we're paying our vendors a little bit faster as well, which is impacting cash flow given some challenges there. Finally, on the receivables side, our DSO is a little bit elevated. So your question is on point and that this year is a bit of an unusual year. We generated $14.5 million of operating cash flow in the second quarter. And while we don't provide guidance on cash flow, we are anticipating that our cash flow will be better in the second half of the fiscal year. And then as we move into fiscal 23 and beyond, bounce back to more historical levels and grow from there. We're expecting to be a strong cash flow generator as we enter our new fiscal year here in about five months.
Brian Ruttenbur: Okay. Just as a follow-up on that. Historically, the ballpark and operating cash flow basis on the norm has been roughly 80 to 100 million, is that the right ballpark historically?
Alan Edrick: Yes. We might even comment that that's a little on the low side. If we look at fiscal '19 through '21, our operating cash flow was north of a $100 million each year.
Brian Ruttenbur: Okay. Great. Good. So the next front -- the next question is on the competitive front. So maybe you can talk about book-to-bill. It was little bit soft in the fourth quarter. Is that a seasonality issue or is that just everybody is slowing down and tapping the brakes because of Omicron? And I'm sure that Deepak will address this or you pass it off to Alan, Deepak?
Deepak Chopra: Brian, good question. It's a very broad question because you mentioned the word competitive in which product lines. So I presume that you are referring to security?
Brian Ruttenbur: Yes.
Deepak Chopra: But going back first to the security thing, as you all know, because the government fiscal year is September ending, that's always a very strong quarter. And we did announce the big thing, over $200 plus million from the CBP, which by the way, we've said it, was the largest order and out of all the various competitors, we got the largest share. And there's a lot more runway still in that. This quarter, our security revenue definitely was down a little bit disappointing, but the reason was mostly with detection, where some of the orders got pushed out in the aviation side. But we still had a very strong booking overall. And our backlog is very strong. We haven't lost anything. And the other thing is that some of these big orders and stuff are acquired face-to-face, travel restrictions, the changes of our ability to visit the customer, to make the customers come and visit us, that all has become challenging, so it got pushed to the right. Good news is that the requirements have not changed. They still are looking very aggressively, and we are very well positioned, and the other thing that we're very excited about it is that as we launch more than more aggressively, not just in U.S., but globally, our Certscan agnostic equipment software. That opens up more opportunities. Going on to the other two product lines, we have had very good strong bookings. Even in healthcare, it was expected some of the down, but still very strong, especially in U.S. And we continue to see that for the next six months, both in the Opto and healthcare, it will continue to be strong.
Brian Ruttenbur: Great. Thank you very much.
Operator: Thank you. Our next question comes from Josh Nichols with B. Riley. Your line is open.
Josh Nichols: Thanks for taking my question. And really good to see the continued ongoing profitability here, strong operating margins despite some of those [Indiscernible] already touched on. I guess the one thing I wanted to ask about is, raising the EPS guidance, partaking the revenue guidance down a little bit. But considering that the backlog is still at these record levels, 1.2 plus billion, are these more like push outs and would you expect some of that revenue that you're trimming this year to maybe fall to next year so that there's maybe not much changes to the out-year estimates given that your backlog really hasn't decreased at all?
Alan Edrick: Yes, Josh, this is Alan. It's a good question. You're right, our backlog remains quite strong. The timing of a little bit of that deliverables has pushed a little bit to the right, which has changed the revenue guidance, so it moves into fiscal '23, positioning us nicely for next year. We do have good visibility into the second half of fiscal '22 for that revenue guidance, particularly in security and in optoelectronics where we have a very, very strong backlog, so the amount of bookings remaining to fill the gap is of a narrow amount. On the earnings side, we've been experiencing increased operating margins. In that respect, on lower revenues, we still anticipate that our profitability will actually improve and generate us higher operating margins as a company overall, which really positions us well as we move forward to leverage the growth in sales in future years.
Josh Nichols: Thanks. And then I think I might have missed it. I know you mentioned, maybe part of the reason for the reduction was a shift with one of the Opto customers. What exactly is going on there and could you quantify how much of the revenue estimate update was related to that versus what's going on in the Security division?
Alan Edrick: Sure, Josh, thanks. This is Alan again, so we had a customer in the Opto who shifted to what's called a consignment model. So rather than us building a product from scratch, securing all the components and selling it with that markup. In this case, some of the more difficult to find items that had been resulting in large purchase price variances. The customer has taken over that responsibility to find the items and then provide it to us at no cost and then we sell it back, and of course we can't get a markup on the customer consigned material, so we get the markup on the value-add. In the end, it actually ends up being really good for us. Our operating margins are stronger, our gross margins are stronger. We don't necessarily need to carry the inventory, so the working capital metrics are better. But what we do see is lower revenue as a result, but really not much of a change in the operating profit, so just a better operating margin, probably $10 to $15 million of the change in the revenue guidance was associated with that shift. And because that shift doesn't really have an impact on the bottom line is another reason why we were able to increase the earnings guidance despite reducing the revenue guidance.
Deepak Chopra: This --
Josh Nichols: Thanks for Clara.
Alan Edrick: Yeah.
Deepak Chopra: This is Deepak here, just to add on to what Alan said. The other thing is we have said it, the second half, the mix is going to change. We're just going to be more stronger in the Security side compared to the Opto which carries a lower margin. So then we think with the mix changing also that could be a big help. And just to add on to what Alan's saying, it's very important, that our customers in the Opto area, we had to be one of those consignment model. They are large companies, they have a better way of getting product. They can get their raw material better than us. They take over that, our risk goes away. They provide that because they desperately need their parts. They can buy it for any price they want. And we just do the value-add. To us it's a very good model.
Josh Nichols: Thanks. And then last question for me, and then I hope to know -- to get a chance to ask something. But clearly, so the notes are coming due, no issues. You have a ton of liquidity, very easy. Assuming you'd probably use your available liquidity to pay that off and just the fact that you upsize the facility also, I'm just kind of curious, expectations as far as potential M&A. Is there a lot of opportunities that you're seeing today? Are you farther down the pipe with one or two potential acquisitions where we might see something like this fiscal year or are you just really expanding that capacity, so you're ready to act if something does come about, but nothing that's really exceptionally close to being completed at this time?
Deepak Chopra: While it's a good observation, but you already know our answer. It's got to be very vague. We look at every opportunity we can, and definitely, this strengthens us. We're well positioned, and we're going to capitalize on it. Whether it's in acquisitions, whether it's in stock buyback, whether it's in inventory or whatever we can, we are well positioned. Alan?
Alan Edrick: No, I agree. We thought it was an opportune time to amend the credit facility, to extend the tenure, to increase the liquidity that gives us lots of options for all those items that Deepak just described and more, and we are always looking at M&A to your question.
Josh Nichols: Yes. Makes all sense, obviously, a lot more plus 100, right? So that's it from me. Thanks, guys, I appreciate it.
Alan Edrick: Thank you.
Operator: Thank you. Our next question is from Larry Solow with CJS Securities. Your line is open.
Larry Solow: Great, thanks and good afternoon or I should say good morning, Deepak and Alan. Just a few follow-ups for you guys. Just on Brian's question about the bookings. And I can fully appreciate the backlog that near record has. Just a little bit in terms of looking at security, and the -- obviously the orders of CBP were great and hopefully there are more of those. But again, if we just take that large order out, your book-to-bill will actually be down a decent amount, I think in Q1 below one, and also down this quarter are below one I should say. Is there any concern there? Just trying to look at the final -- it seems like the funnel or the queue of potential additional orders is very -- being probably as big as great as ever been. I'm just trying to get a little bit of a better feel or -- and I realize orders are choppy and -- but sort of last couple of quarters they've been, again, if you take out that one large order, have been under some pressure. So any -- any color to that will be great.
Alan Edrick: Larry, this is Alan. I'll take a shot at it. So by nature of our security business, we always have one-off type orders, some larger, some smaller, so it's always difficult for us to ever exclude certain orders. Our overall bookings level has been strong for the first half. But what we have seen is a slowdown in bookings on the aviation side that Deepak was describing earlier in his prepared comments, as we've seen an intensification of COVID, first with Delta and then with Omicron. So the little bit lighter bookings that we've experienced are principally on the aviation side. But to put it all together, and we still have a book-to-bill and security in the first six months of about 1.4, which we feel pretty about.
Deepak Chopra: I guess to add on what Alan said, always -- we always say that the government year ends in September. So that's always a slow year. This year it was a big order. We also had some other orders from DOD and State Department and other things. The thing that is challenging and you're a very good observer that the bookings of the aviation side and some of the international bookings have pushed to the right. And I said it in my comments, the reason for that is not that they have gone away or we've lost them. On those bookings you need a customer interaction. You need to travel, you need to face them, or they need to come and visit your site in England or U.S. That travel restriction has made it difficult to make closure. So that's the reason that it's happened. But at the same time, the need doesn't go away. The opportunity hasn't gone away, and some of that stuff will come back as at more travel and more customer interaction can happen.
Larry Solow: Okay. Now, that's [Indiscernible], and again, by no means do I mean to discount the large orders for vehicle screening at Customs and Border Patrol. And on that subject, you mentioned there's over 800 million total IDIQs [Indiscernible] IDIQs, and I think less than half of that's obviously been ordered already, so it does sound like you have more coming. What about additional IDIQs from other agencies outside of the CBP? Is that something that you guys then talk to other agencies? Do you expect others to pick up this product maybe within the U.S. and maybe also internationally?
Deepak Chopra: Well, definitely there is a lot of input interest out there, frankly, even in aviation. IDIQs is the way the government does gives you the right to get an order, but the same time you perform well, you get more. Then other departments, DoD, State Department, DoE, there's all kinds of them -- defense. So the answer is yes, but also, they don't call it IDIQs, but they're also the same kind of concept in internationally. You can get into Phase one order and then you follow it albeit the Phase two order. Once you have a Phase 1, you're going to get Phase 2, Phase 3. So these kind of thing that's pretty natural that happen in -- especially in the security area.
Larry Solow: Okay. Just another question on the margins. It sounds like mix and supply chain issues certainly hurt you guys in Security. I am just trying to if I look sequentially or even year-over-year, revenues were about the same. So I guess the margin's impact clearly is not so much on the operating or absorption level, but it really is the mix. But again, if I look deeper into this, service revenues are actually up, I thought service revenues generally carry the higher margin than product revenues. Maybe that's a generalization, but -- so I would think that your margins made it would've gotten a lift from better services. Service even looks like grew 5% year-over-year, so I assume progress over new product declined about that same number, give or take. So I'm just trying to get a little better picture of that and that because it's pretty considerable drop on the margin side, 200 bps in 150 bps year-over-year and sequentially just in security, and trying to get a feel that this stayed at these levels for a couple of quarters, or do you expect it to rebound? Thanks.
Alan Edrick: Sure, Larry. So I think you really have pointed out some of the reasons why the operating margins dropped for security in the Second Quarter, but as we move forward into the Q3 and Q4 on the stronger revenues the economies of scale associated with that, we are expecting operating margin expansion in security through the balance of the fiscal year.
Deepak Chopra: Also, I'd just -- I guess I'd like to add on top of it, keep in mind that the security also does have a supply chain thing. So supply chain has an impact. Freight has an impact. So that as those three -- two items have been hurt, everybody is talking about it, especially freight. So that as those things change, the margin will improve.
Larry Solow: And I am correct, just in -- maybe it's a generalization, service revenues, at least historically, I thought carried a higher margin, is that not true or?
Alan Edrick: That is true. Service revenues do carry a higher margin compared to product revenues.
Larry Solow: Okay. And then just switching gears really quick on the Opto side. Obviously, fabulous margin improvement year-over-year and your margin have consistently been sort of low double-digits. Does this mix -- Do you feel like there's a mix issue took you up to 300 bps or is there some piece of that portion that may be sustainable?
Alan Edrick: Well, it was certainly a great quarter for Opto and on the operating margin. It's been down the last 10-12 quarters have been quite solid for Opto. I would say it was a very favorable environment on the margin side for Opto in Q2. We would anticipate good strong margins in Q3 and Q4, but not maybe necessarily to the same level as we saw in Q2, but should represent year-over-year improvement in each of Q3 and Q4.
Larry Solow: Okay. And then just lastly, just on healthcare, could you just give us an idea of the scope of the increase on the sales force, is it basically -- essentially, most of this business was -- I guess on the cardiology side was European or specifically UK based, and we just essentially not bring in -- maybe I sorting this business from the ground, but driven this business out from pretty close to the ground and how many sales reps are you targeting to add? How many of you added or maybe you can just give us a -- what inning are you in or some kind of percentage and will the sales force be as larger and bigger than it is in the UK?
Alan Edrick: Larry, this is Alan. It's a good question. Our cardiology business historically had been extremely strong in the UK and in Germany, and then, we've sold in other parts of the world as well. In the U.S., which is a good strong market, hadn't been a primary focus. We use a different sales force selling cardiology than we do for patient monitoring, although they do share leads because it's a different type of sale. We began really building out that sales force in earnest over a year ago. New sales leader, who has got a tremendous track record, as well as the team. It's not a sales force that's going to be the size of patient monitoring anywhere in the near term because it's a different target that we're going at. But we do believe that we're basically fully ramped on our U.S. sales force today, and that has led us to see good strong double-digit growth in each of the first quarter, the second quarter, and we anticipate that to continue. And with cardiology representing our highest contribution margins, not only in healthcare, but in all of OSI Systems, that can really have a nice flow-through effect to the overall bottom line.
Larry Solow: Great. Thanks. I appreciate all the color there.
Operator: Thank you. Our next question is from Jeff Martin with ROTH Capital Partners. Please go ahead.
Jeff Martin: Thanks. Good morning, Deepak and Alan. Nice job getting through a really challenging environment there.
Deepak Chopra: Thank you.
Jeff Martin: I wanted to get a sense, what was your experience with respect to travel, specifically around acceptance of security installations with the Delta variant? Did that ever get back to normal level of travel in case of acceptance? Just trying to gain some perspective on how we might see travel open backup for -- specifically for OSI with respect to the Omnicom variant?
Deepak Chopra: Good question, Jeff. I would say that maybe there's a stuck in the last quarter, we were looking at things getting better and then the Omicron comes in, travel is restricted, and we use the what traveling very broad sense. We look at travel two ways. One is, you can see customers or the customers can 't come to you. Second thing is you have to do installations. Many of our products, they need a sign off by the customer after installation or some of the other support that has to be built, civil works, other things. Because of all this activity restriction, which become a problem. And just to give an idea, if we have to go back to, let's say, Asian country or to Middle East country to install it, we have to send a person from England, that person has to be quarantined for a couple of days, then they go back and they want to get the installation done and then they find out that the customer has got COVID, so the customer is not there, then they come back to the hotel, then they are quarantined again, and then they come back to England, they get quarantined again. So by the time you finish, it's a very in efficient system. And that has put some cost structures in it and some of the revenues have been pushed out. And that thing isn't going to change. Your guess is the guys would have mind. Every indication is Omicron is at peak, it's going to come down, that should open up. There's lot more positive, encouraging news. Just hope that there is not another variant that comes in. So to us in the security business, especially, customer interaction is very, very important, especially in the international sector. And it's also happened in the U.S. Some of the U.S. customers are also having a tough time visiting our sites or us been able to go back and sign off. So all that stuff is really the thing under the name travel. That has been a big issue, and hopefully, as it gets better, Omicron goes -- peaks down, we will again end up getting lot up successes and sign-ups with the customers.
Jeff Martin: That's helpful. Thanks, Deepak. Wanted to also focus on Certscan a bit more. Could you help us understand what the typical contract looks like in terms of maybe an average revenue size and duration, how many years? And then also, what kind of feedback you're seeing in the sales channel from potential customers on Certscan? It'd be helpful to have that perspective.
Deepak Chopra: Good question. We ask all these questions to our team all the time. Basically, firstly, it's an agnostic software, think of it, which can interface and connect from one equipment to another central station to another equipment, to another site, to another central station, and to be able to be accessible by all centralizing to make it more efficient data flow. And it's agnostic, doesn't matter whether it's our rapid scan system or risk our competitors’ system or whatever. The customer is very interested and excited about it. And the way the revenue comes in, is one is the first sale. To even the person who's, again, a competitor, if their system is going and getting integrated into it, they got to get the software from Certscan to use that. Customer interacts it, and then we do training. And then as the customer long-term uses, what we call more seats, we get a licensing fee. So all that stuff adds up to being a typical, I call it, like a Microsoft model or whatever, that as we go forward, it will start having a recurring revenue and tends to be higher margin revenue. That's the model and it's not just in U.S. We are integrating and doing some of the stuff internationally. And the most important challenging and thing that we think, and I think it's logical, just think about it, how efficient the world will become if various trading countries can interact with each other and pass the data back and forth under the secured software platform then that will the efficiency of cargo movement will be much better.
Jeff Martin: Right. And how long do you target for the average contract? Are we talking five to seven year contracts, are they one-year contracts with a couple of built-in extension? How are those initially targeted?
Deepak Chopra: It's too early to it, but think about this way. For the software business, once the customer is onto into it, all the -- you do add-on options, accessories, and once the platform is established, you get multiyear contracts, renewable.
Jeff Martin: Right. Okay. And then thinking a bit more longer term here, I know there's an upcoming replacement cycle in the U.S., particularly with passenger screening, what other things are on the longer-term horizon that you're excited about, particularly within the security segment?
Deepak Chopra: Well, you said it. One is obviously the replacement cycle to the aging equipment in passenger screening. There's been [Indiscernible] update and there is the new certification model, everybody is going to get to baseline level. Everybody has to get certified. That's a big opportunity. In my mind, cargo side or integration of all the checkpoints in borders and ports and stuff is a biggest opportunity, and we will continue to expand and grow because as you know, at one time many years after 911, the congress -- the India (ph) took a 100% inspection. And some people said, well, it's 5% and up to 5-7 years, it got stopped. Somewhere in between it's going to continue to grow. And as it grows, it requires more product, more integration, and that's what I think is the greatest opportunity. And then the third one, which we have said it on our conference calls and we're having a lot of success and we think about it, e-commerce and air cargo has been a dormant area line there, which also requires a lot of security. And they need even more integration and stuff, and that becomes a big play. And we are very well placed. We have said it before that that's been one of the biggest growth opportunity for us in the air cargo space.
Jeff Martin: Great. Thanks, Deepak. Appreciate the color, very helpful.
Operator: Thank you. Our next question is from Sheila Kahyaoglu with Jefferies, your line is open.
Sheila Kahyaoglu: Hi, good afternoon. Deepak Alan. Thanks for the time. So I want to go back to Opto. Performance is really good in the business. And you seem to indicate that this is a sustainable level, maybe for Opto, but as well as the rest of the business, how do we think about inflation, raw material costs, and pricing overall? Is this the business that has most leveraged to pricing? I previously thought it had the lift.
Alan Edrick: Hi, Sheila. This is Alan. In the Opto business, what we tend to see more so than Opto businesses, when there is inflation or input cost increases, this is the area where we're dealing with OEMs that there's the biggest opportunity to pass it on to the customer. We typically have seen that which is one of the reasons why we haven't had a degradation of our operating margins. In fact, we've had an improvement in both our gross and our operating margins as customers clearly understand what's going on in the supply chain and nobody wants to pay more money. They understand when we show them that our costs have gone up, that we need to pass that cost on to them.
Sheila Kahyaoglu: Okay. Got it. And then on securities, we could go back to the business. How do you think about the growth trends given the bookings, about the deceleration we saw in the quarter? And maybe if you could touch upon the different end markets and what sort of growth you saw in Q2, I think you mentioned cargo was a particular standout. If you could elaborate on the different end markets you serve.
Deepak Chopra: Sheila, this is Deepak here. I want to make sure that we emphasize to explain. No business has gone away. It's pushed to the right. We've had some business that at the last month, last week, last day could not get onto a ship or to get a freight there. In some cases, the customer was not there. The site was not ready. It got pushed to the right. So we believe that is not a deceleration. It just pushing to the right, and it will be there, the backlog is still there, the pipeline is very strong, and that will continue. Now, Alan, they have mentioned and I mentioned that the aviation side really took a big sudden dive. Everybody was expecting after Q1 up to the Delta variant that passenger travel is going to increase and then Omicron comes in, that getting pushed at to the right. But ultimately, air travel will increase and go back to normal, and people need to invest in airports, and upgrades, and stuff that it will happen. Same thing with air cargo, it could continue to grow up as there is more demand. So as long as there is demand, as long as there is travel, as long as there is security needed, this business will continue to grow, it just got pushed to the right.
Sheila Kahyaoglu: Okay. Understood. Thank you very much.
Operator: Thank you. [Operator Instructions] We have a question from Christopher Glynn with Oppenheimer. Your line is open.
Christopher Glynn: Thank you. Good afternoon and good morning. I think most of my questions have been asked, but I did want to ask about security, backlog pricing versus cost to execute. Cost to execute is certainly in flux. Backlog pricing comes in when you get bookings. So how does this impact volatility in future margins? Or are there provisions?
Deepak Chopra: Well, and then maybe you want to make it, Alan.
Alan Edrick: Sure. Chris this is Alan. Good question. Generally, when you take an order, you're right, you lock in price. It's pretty difficult after that period of time to get customers to increase that price in the security business. While we have had some increases in our supply chain that we sometimes had to absorb on orders that we had taken many months or many quarters ago, and we certainly factor that in to all of the new bookings that we have in place. That being said, and we put it all together, we -- our outlook looks good for what we have in the backlog, which is why believe -- why we believe we'll see increased operating margins in the second half of the year for the security business.
Christopher Glynn: Is that comment sequential or year-over-year comment or growth as far as the back half security margin?
Alan Edrick: It's definitely on the sequential side. It would probably be year-over-year as well, but I was thinking sequentially.
Christopher Glynn: Thank you.
Operator: All right. We're not showing any further questions in the queue at this time.
Deepak Chopra: Well, thank you very much. And again, I want to thank all the employees, and also patients of our customers, and the support of the stockholders. It's been a challenging time. We're not going to say that it was easy. At the same time, we are also saying we are confident about the second half. Our backlog is strong, and but there's uncertainty there. We're well-positioned. Supply chain is a challenge, freight is a challenge, but we have well-positioned. And one of the things that I want to again emphasize, we distinguish ourselves from our competitors. We had a vertically integrated country with
Deepak Chopra: manufacturing operations in Asia, in Europe, in Latin America, in U.S. So we have a lot of flexibility to cater to our customers ' needs and to be flexible. That has been a big strength for it. So I want to thank everybody and talk to you after the third quarter. And thank you again for your support. Goodbye.
Operator: And with that, ladies and gentlemen, we thank you for participating in today's conference. You may now disconnect. Have a wonderful day.